Operator: Good morning, and welcome to American Hotel Income Properties REIT LP's Third Quarter Results Conference Call. [Operator Instructions] I will now turn the call over to Kelly Iwata, Director of Finance. You may begin your call.
Kelly Iwata: Thank you, operator. Good morning, everyone, and thank you for joining us for our third quarter 2022 results conference call. Discussing AHIP's performance today are Jonathan Korol, Chief Executive Officer; Bruce Pittet, Chief Operating Officer; and Travis Beatty, Chief Financial Officer. The following discussion will include forward-looking statements, as required by securities regulators in Canada. Comments that are not a statement of fact, including projections of future earnings, revenue, income and FFO are considered forward-looking and involve risks and uncertainties. The risks and uncertainties that could cause our actual financial and operating results to differ significantly from our forward-looking statements are detailed in our MD&A for the 3 months ended September 30th, 2022, our other Canadian securities filings available on SEDAR and on our website at ahipreit.com. AHIP does not undertake to update or revise any forward-looking statements to reflect new events or circumstances, except as required by law. Listeners are urged to review the full discussion of risk factors on AHIP's annual information form dated March 21st, 2022, which has been filed on SEDAR at www.sedar.com. Our third quarter results were made available yesterday afternoon. We encourage you to review our earnings release, MD&A and financial statements, which are available on our website, as well as on SEDAR. On this call, we will discuss certain non-IFRS financial measures. For the definition of these non-IFRS financial measures, the most directly comparable IFRS financial measure and a reconciliation between the 2, please refer to our MD&A. References to prior year operating results are comparisons of AHIP's portfolio of 76 properties results in that period versus the same properties results today. All figures discussed on today's call are in U.S. dollars, unless otherwise indicated. I would like to remind everyone that this call is being recorded today, November 9th, 2022, and a result -- and a replay of this call will be available on our website. Jonathan will begin today's call with an overview of operational and financial highlights followed by Bruce, who will provide an update on hotel operations; lastly, Travis will highlight key financial results. I'll now turn the call over to Jonathan Korol, Chief Executive Officer.
Jonathan Korol: Thank you, Kelly, and thanks, everyone, for joining us today for our third quarter financial results conference call. We're pleased with the top line performance of our 76 properties select service hotel portfolio this quarter. Revenue grew 11.3% year-over-year due to steady demand acceleration across the 22 U.S. states in which we operate. For the second consecutive quarter, we achieved the highest quarterly average daily rate levels in the history of the Company with ADR coming in at $127. The ability to control and manage daily rates remains a key differentiator for the lodging sector and has enabled AHIP to achieve strong growth in ADR, helping to mitigate the effects of rising costs due to inflationary pressures. For the quarter, rates ended at 106% of Q3 2019 levels. This marks the fifth consecutive quarter, where we have matched or exceeded 2019 rates, and we expect this trend to continue. RevPAR for the quarter finished at $92, the highest mark since the onset of the pandemic. While strong ADR continues to be the primary driver of RevPAR growth, sustained leisure customer demand and the gradual return of business and group travelers also played a part. Our portfolio is seeing improving trends relating to corporate demand, as both weekday occupancy and food and beverage revenue, 2 indicators of returning business travel saw meaningful improvements during the quarter. Additionally, our Embassy Suites portfolio saw a 33% year-over-year increase in RevPAR during the quarter, another good sign for corporate segment recovery. The quarterly revenue improvements in our business are occurring against the backdrop of a challenging operating environment. Labor scarcity and overall inflationary impacts on supplies and utility costs are combining to apply pressure on operating margins. To address these issues, our asset management team, together with our external hotel manager are emphasizing the hiring more in-house labor, reducing turnover and improving overall productivity. We remain confident in our ability to navigate the current macroeconomic challenges, given the lean operating model of our select service portfolio, diversified demand portfolio of our guests and the dynamic pricing benefits of the lodging business. As we stated previously, the fixed rate nature of our debt obligations is a substantial benefit to us in today's higher interest rate environment. Overall, 93% of our debt obligations are fixed rate coupons or subject to variable to fixed swap arrangements. Subsequent to quarter end, we entered into an amendment to the revolving credit facility and certain term loans to increase our borrowing base availability amount and reduce the fixed charge covenant ratio, providing us with greater balance sheet flexibility. Travis will discuss this in more detail later on in this call. We do not have any meaningful debt maturities until 2024, and we are well positioned to manage any potential economic volatility in the coming quarters. We continue to execute on our strategy of selective dispositions of underperforming assets to enhance liquidity and reduce leverage. In October, we entered into a purchase and sale agreement for the disposition of 4 non-core assets located in Oklahoma City for gross proceeds of $26.3 million. Similarly, we completed a previously announced disposition of a non-core asset located in Pennsylvania for gross proceeds of $5.4 million. These properties had each been previously identified as impaired and combined, generated negligible cash flow to the overall portfolio. These dispositions allow AHIP to avoid future brand mandated investments in assets that will not meet returns available elsewhere in our portfolio. Post-sale, the quality of the portfolio improves, AHIP sees a modest increase in liquidity and improvements in certain leverage metrics. We will always explore opportunities to dispose of assets, where the return projections lagged the average return expectations for the remainder of our portfolio. As you are all aware, in late September, Hurricane Ian swept through parts of Florida. While we are happy to report no material damage to our properties, these are communities housing many of our hotel associates. They and their families have been impacted by the -- this profound weather event. We are proud and grateful for their efforts and dedication during this difficult period. I'll now turn the call over to Bruce to discuss third part -- third quarter hotel operations. Travis will then highlight key third quarter financial metrics. Bruce?
Bruce Pittet: Thank you, Jonathan, and good morning, everyone. We continue to see strong signs of revenue recovery across the portfolio this quarter. On an absolute dollar basis, we've seen sequential ADR and RevPAR growth throughout every quarter in 2022. Total occupancy for our 76 hotels in the third quarter averaged 72%. On a monthly basis through the quarter, July occupancy was 75%, August occupancy was 71% and September occupancy was also 71%. For the quarter, occupancy was 1% of [Technical Difficulty] levels compared to 90% in Q2 and 87% in Q1. ADR continues to be the catalyst for RevPAR recovery across AHIP's portfolio, exceeding Q3, 2019 performance by 6%. 76% of the portfolio posted ADR above 2019 levels in Q3. Specifically, ADR for the quarter was $128.30 in July, $125.87 in August and $126.91 in September. We continue to anticipate strong ADR performance across the portfolio going forward. Q3 RevPAR for our 76 hotels was $91.59 or 97% of 2019 levels, which is the highest quarterly RevPAR recovery figure since the onset of the pandemic. 50% of the portfolio posted RevPAR above 2019 levels. And in September, we saw RevPAR come in at 100% of 2019. Looking at Q3 portfolio performance, we referenced 3 distinct segments of our business: extended stay, select service and our Embassy Suites hotels. The extended stay segment achieved a RevPAR of $100.38 or 92% of 2019 levels. The Select Service segment achieved a RevPAR of $84.37. This represents a recovery of 99% to the same period in 2019. The Embassy Suites segment achieved a RevPAR of $100.54 or 98% recovered to the same period in 2019, well ahead of the 66% recovery we saw in January of this year for the segment. The Embassy's tend to be a good barometer for the portfolio, as it pertains to group and corporate segment recovery. Along with the Embassy Suites performance, we are seeing other positive signs of continued group and corporate segment recovery. There are a number of markers across the portfolio that continue to provide confidence that the group and corporate traveler is returning. In Q3, the GDS channel or global distribution system, which is mostly driven by travel agents booking corporate travel for their clients, and the negotiated segment were relatively flat from a performance perspective in Q2. However, after the summer holiday period from Labor Day through October, we saw occupancy improvements in GDS, which grew channel occupancy from 9.8% to 10.6%, and the negotiated segment, which grew occupancy from 13.1% to 13.5%, showing greater corporate demand in the fall time period. Mid-week occupancy, which is another proxy for corporate demand, improved to 74% in Q3 compared to 69% in Q2 and 61% in Q1. Food and beverage revenues are continuing to improve against 2019 benchmarks. F&B revenues were 78% of 2019 performance for the quarter compared to 67% in Q2 and 49% in Q1. In Q3, both Marriott and IHG increased housekeeping brand service standards. Marriott housekeeping standards now require providing cleaning service to guest rooms every other day, while IHG has initiated daily housekeeping service. Although, the service standard has increased in these 2 brand families, overall housekeeping and complementary food standard requirements continue to be reduced when compared to 2019 service levels. Coupled with service standard cost increases, a challenging operating environment persists around sourcing and cost of labor, as well as general inflationary cost environment, this has resulted in margins continuing to be pressured and below 2019 levels. There's no quick fix to the labor issues facing our industry. Our manager is focused on shifting away from third-party contract labor to hiring additional in-house staff whenever possible. In-house labor for Q3 was 76% of 2019 levels, an improvement from 72% in Q2. Although, turnover remains high, we saw some improvement relative to Q2 had witnessed improved housekeeping productivity across the portfolio. Turning to AHIP's capital program. As previously discussed, AHIP's 2022 capital plan represents a return to pre-pandemic spending levels. The PIP or property improvement plan was weighted heavily towards the second half of 2022, where we have targeted 7 significant renovation projects. In September, we started 3 PIPs, 2 in Florida and 1 in the Northeast. In Q4, we have started 3 additional projects all in the Northeast and 1 project has been pushed into Q1 of 2023 due to a delay in FF&E deliveries. The total value of the renovation projects is approximately $17 million, and we expect an improvement to the hotel's market share and RevPAR post renovation. We also anticipate spending $11 million on capital maintenance projects across the portfolio for a total capital commitment of $28 million in 2022. We estimate approximately 40% of the capital program will be funded from existing restricted cash accounts. So far in 2022, the FF&E capital spend is approximately $8.2 million, of which $3.9 million was spent in Q3. Initial top line results in October suggest continued strong revenue performance with occupancy of 74%, ADR of $129.54, our strongest monthly ADR result this year-to-date and RevPAR of $95.85 or 100% of 2019 RevPAR levels. And with that update on hotel operations, I'll now turn the call over to Travis to highlight key financial and capital metrics for the quarter. Travis?
Travis Beatty: Thank you, Bruce. Good morning, everyone. AHIP continued to see improved top line results in Q3, 2022 compared to the prior year. Revenue increased by 11% to $76 million compared to $68 million for the same period last year. Diluted funds from operations, or FFO, was $11.4 million or $0.13 per unit for the quarter compared to a normalized diluted FFO of $13 million or $0.16 in the prior year. Despite the positive trend in rate and RevPAR, as Bruce outlined, margins are below target rates, which resulted in FFO decreasing year-over-year. Reported net income for the year was -- for the quarter was $1.4 million, which was a decrease of $14.3 million compared to the same period of 2021, primarily due to a non-recurring gain of $14.7 million in the third quarter last year. NOI decreased by $1.8 million in the current quarter compared to Q3, 2021 due to higher operating expenses and the disposition of 2 hotel properties since the third quarter of last year. At September 30th, 2022, AHIP had $36 million in available liquidity, which was comprised of an unrestricted cash balance of $17 million and borrowing availability of $18 million under the revolving credit facility. The decrease in the available liquidity at September 30th compared to the prior quarter was primarily due to cash generated by 3 Embassy Suite properties located in Ohio and Kentucky in the current quarter being held as restricted cash by the lender, as a result of these properties not meeting the minimum debt service coverage ratio prior to the third quarter of this year. AHIP also has a restricted cash balance of $44 million, which we expect to decrease in the coming quarters, as it will be used to fund capital expenditures, and we will -- we expect a return of a portion of the restricted cash. Debt to gross book value decreased by 150 basis points to 52.6% compared to 54.1%, as of December 31, 2021, and represents almost 600 basis point improvement from the end of 2020. We are making steady progress on this measure and intend to bring it to a level closer to our peer group over time, which be in the range of 40% to 50% debt to gross book value. This will be done through a combination of improved operating results, a sustainable distribution and selective equity issuance in support of growth transactions. Our weighted average interest rate for term loans and credit facility was 4.3% at September 30th, 2022, a reduction of 18 basis points from the end of last year. This is well below the market for comparable first mortgage debt was issued today. On November 3rd, 2022, AHIP completed an amendment to its revolving credit facility and certain term loans. In particular, we modified the calculation of the borrowing base availability amount and certain financial covenants. These modifications significantly improve the expected borrowing base availability and reduce the required fixed charge covenant ratio. Commencing with the first borrowing base certificate filed in 2023 and until the end of next year, the availability under the revolving portion of the credit facility will be determined in part by a valuation method, which involves -- includes debt to gross book value and appraised value of properties included in the borrowing base calculation and an implied debt service coverage ratio with the maximum total availability capped at $200 million. The timely execution of this amendment highlights the strong relationships we have with our lenders. As Jonathan already alluded to, despite market expectations for short and long-term interest rates substantially increasing, we do not expect a material increase in our interest expense in 2023 or 2022 given that 93% of our debt is at fixed rates or is effectively fixed due to interest rate swaps. In addition, we have no maturities related to debt or interest rate swaps until the fourth quarter of 2023. This debt and hedging structure will continue to provide financial stability during uncertain times in the debt financing markets. In terms of upcoming maturities, AHIP has 2 CMBS loans totaling $15 million coming due in December of 2023, 2 CMBS loans totaling $20 million -- sorry, $30 million due in the first half of 2024, and an additional 3 loans totaling $60 million in the second half of 2024. On the revolving credit facility, $125 million matures at the end of 2024, and the revolving portion can be extended at our option until the same date. Based on in-place yields, we are confident in our ability to refinance all upcoming maturities over the next 24 months. Our distribution policy remains intact. We have now declared and paid U.S. dollar monthly distributions each month since February of 2022, and we are pleased to be in a financial position to continue this. This reflects our confidence in our operating model and our ability to navigate the current environment. Based on analyst consensus, our next 12-month FFO payout ratio is a conservative 36%. At our current unit price, the yield supported by this distribution is almost 9%, which is the highest yields in the Bloomberg Hotel REIT Index. Declaration of payment of each monthly distribution remains subject to board approval. I'll now turn the call back to Jonathan for some closing remarks.
Jonathan Korol : Thanks, Travis. I'm encouraged by the progress we are making on several fronts this quarter. The efforts of our finance team, together with our lending partners resulted in a meaningful amendment to our credit facility. I'd like to thank them for their valued partnership. This amendment maintains our borrowing availability and flexibility, as our business continues to recover. As Travis mentioned, we continue to make small, but important improvements to our leverage profile, while not feeling the urgency of any near-term loan maturities. The ongoing efforts of our real estate and asset management team in Q3 resulted in finalized and soon-to-be closed dispositions of 5 properties that we have deemed to be non-core to our portfolio. This is a challenging environment to be buying or selling, and we are pleased with the outcome of these processes. Finally, I'm encouraged by the demand acceleration that is continuing across our portfolio in 2022. We are not seeing any evidence of a slowdown in demand trends for our leisure guests and all signs point to steadily improving business traveler demand. We expect that our team's focus on easing the effects of the labor challenges that are evident across the country will begin to narrow the gap to pre-pandemic operating margins, allowing for the permanent improvements to the select service hotel operating model to be increasingly evident I would like to convey my appreciation to all of our teams at each of our hotel properties for their continued dedication to providing a great guest experience. So with that overview of our third quarter and recent initiatives, we'll now open the call to questions from analysts. Operator?
Operator: [Operator Instructions] Our first question comes from Tal Woolley with NBF.
Tal Woolley: How are you?
Jonathan Korol: Great. How are you?
Tal Woolley: Not too bad. In thick of earnings season, we're surviving these days. I apologize. I would double bucks for this call if I appreciate you might have answered this already. But just in terms of where like lending rates are in the CMBS market, can you just give some color on what sort of pricing and LTVs you're seeing right now?
Travis Beatty: Yes. I would -- this is Travis. I would say those markets are a little bit choppy. People are avoiding them to the extent they can, and that includes us. As we talked about earlier, our first maturity is until end of next year, which is only $15 million. We don't really have any maturities until 2024, Tal. But what's happened there earlier this year or last year, CMBS spreads were probably 200 over the reference rate, which is usually SOFR. Lots of lenders are seeing rates around 400-plus these days for something that would be similar to our property. So you'd be looking at something closer to 8% all in.
Tal Woolley: Okay. And then as you're looking at new or recycling some of the capital from non-core properties, what sort of yields are you seeing today on potential acquisitions?
Jonathan Korol: Yes. Hi, Tal, it's Jonathan. I saw your note this morning, I wouldn't say that anything deploying capital right now is tricky. And I don't think we have anything imminent. We've -- there haven't been any meaningful margins in -- right now for the kind of properties that we own, where you could point to a stabilized income stream and a stabilized cap rate and that's largely a function of the dynamic that Travis just outlined. It's pretty difficult to make some of these deals penciled. And so there's no urgency on the part of -- on the part of sellers, and we're always opportunistically looking at potential strategy. But it's safe to say that it'd be difficult for us to do something now without some kind of in-place financing being assumed.
Tal Woolley: And I appreciate it's been a while, and I'm not even sure you might -- even the prior management team might not have had the sort of numbers for the portfolio. But when you think about like obviously, we're wondering about some sort of pending recession, that kind of stuff. Do you have a sense of like what in a standard recession, the impact might look like on the portfolio because I appreciate COVID kind of a different beast altogether, and so had like a much more pronounced effect on travel there for a while. I'm just wondering how you would think about if you're sort of planning like okay, if some activity does slowdown, what -- what's sort of your base case for what to think about in terms of downside on occupancy or rates?
Jonathan Korol: Yes. We -- you're right. You got to throw COVID out. We -- like 60% RevPAR correction was across the board, it was something that nobody has seen 2008, 2009 great financial crisis, that was, that was another type of -- that was a lot more meaningful than a regular recession, and that was 16% RevPAR correction in the industry. I'd say that a regular kind of two consecutive quarters of negative GDP growth, would -- you can make an argument that, that may actually benefit us from an operational standpoint. If the thesis would be that you'll have a bit more labor participation, maybe some folks coming back to the labor markets we could actually see a loosening in on these -- on these dynamics that Bruce was talking about earlier. But in terms of the rate and occupancy slowdown, I still think we're going the other way. And in fact, there's a systemic catch up that's occurring with the business traveler that just by virtue of folks coming back into the office and getting back on the road, that may really blur any impact of a demand -- of a recession.
Tal Woolley: And then just on cap structure too, look, I'm wondering here if -- given that you don't have much refinancing work to do for the next couple of years, and it is tricky to deploy capital, you're raising a little bit of cash here, the unit price is down, would you look at maybe going in and maybe buying back some of the warrants or even if I, better try and clean up some of the financing there?
Travis Beatty: Yes. We've talked about that as a possibility. I think we've talked with our Board about a buyback program also on our units because like you just said, we think they are pretty substantially undervalued. I think you'll hear more from us about that in the coming quarters. But there's nothing imminent to announce on that.
Operator: We do have one question from Tom Callaghan with RBC Capital Markets.
Tom Callaghan: Hello. Hey, guys, do you hear me?
Jonathan Korol: Yes.
Tom Callaghan: Thanks everyone. Good morning. Just quickly on dispositions over non-core dispositions there, Jonathan. So you have stated in your opening remarks, and I know you guys had previously kind of talked about Oklahoma being an area that you potentially love to divest it, if the right circumstances popped up. Just curious, are there any other geographic areas or parts of the portfolio that you kind of see that you [inaudible] you could be potentially open to disclosing up here?
Jonathan Korol: Yes. I think I got your question, Tom. I'll just repeat what I thought I heard. You're basically referring to the Oklahoma disposition. And by extension, is there any other market that we would look at getting out of? Is that accurate?
Tom Callaghan: Yes. That's great. Yes.
Jonathan Korol: Yes. There's nothing that comes to mind right now, Tom. And if you recall, over the last couple of years, we've identified Oklahoma City and also these two properties on the outskirts to Pittsburgh as impaired properties and also markets that we wanted to retreat from not because of COVID, but because of the supply demand dynamics in them prior to COVID. And we're just looking for the right buyer at the right time, and we're able to execute on that in this quarter. But there's nothing -- no other markets where we would say the same thing.
Tom Callaghan: Thanks. And then just one more for me. On the Embassy Suites portfolio there, obviously, you mentioned, it's getting closer to 2019 number this time. I'm just curious, in terms of the component of this, how would that kind of break down relative to 2019 and ADR versus kind of the [inaudible] on that portion of the business?
Jonathan Korol: Yes. So Bruce is going to -- I'll just repeat again because having a tough time with your line, but you're basically saying how does the performance of the Embassy Suites portfolio compare versus 2019?
Tom Callaghan: Yes. Basically, the Embassy side, occupancy versus ADR versus 2019?
Jonathan Korol: Yes. Okay.
Bruce Pittet: Yes. Hi, Tom, it's Bruce. The occupancy is the component that's still really lagging. And as I mentioned in my comments, RevPAR is improving. We're just under where we were in 2019, but that's really all driven by rate achievements. So we still have a way to go on the occupancy side. We're feeling much better about the demand from a group and confidence perspective, which has really propelled those hotels over the last 2 months or 3 months, but its occupancy is still lagging. And in particular, over the course when you look at our 5 hotels, it's the occupancy in our Ohio hotels that are really lagging that are improving, but still have a way to go.
Tom Callaghan: And apologies for the technical difficulty on my end there.
Jonathan Korol: No problem. Thanks, Tom.
Operator: Thank you. And I'm currently showing no further questions. I'd like to turn the call back over to Jonathan Korol for closing remarks.
Jonathan Korol: Great. Thanks, everybody. I appreciate you joining us for our call today. I look forward to speaking with you in early March when we report our fourth quarter 2022 results.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.